Operator: Good day, ladies and gentlemen and welcome to the Amdocs Q4 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Mr. Matthew Smith, Head of Investor Relations. Sir, you may begin.
Matt Edward Smith - Amdocs Ltd.: Thank you, Christo. Before we begin, I would like to point out that during this call we will discuss certain financial information that is not prepared in accordance with GAAP. The company's management uses this financial information in its internal analysis in order to exclude the effect of acquisitions and other significant items that may have a disproportionate effect in a particular period. Accordingly, management believes that isolating the effects of such events enables management and investors to consistently analyze the critical components of results of operations of the company's business and to have a meaningful comparison to prior periods. For more information regarding our use of non-GAAP financial measures, including reconciliations of these measures, we refer you to today's earnings release which will also be furnished with the SEC on Form 6-K. Also, this call includes information that constitutes forward-looking statements. Although we believe the expectations reflected in such forward-looking statements are based upon reasonable assumptions, we can give no assurance that our expectations will be obtained or that any deviations will not be material. Such statements involve risks and uncertainties that may cause future results to differ from those anticipated. These risks include, but are not limited to the effects of general economic conditions and such other risks as discussed in our earnings release today and at greater length in the company's filings with the Securities and Exchange Commission, including in our Annual Report on Form 20-F for the fiscal year ended September 30, 2015 filed on December 10, 2015, and our Form 6-K furnished for the first quarter of fiscal 2016 on February 16, 2016, our Form 6-K furnished for the second quarter of fiscal 2016 on May 17, 2016, and our Form 6-K furnished for the third quarter of fiscal 2016 on August 8, 2016. Amdocs may elect to update these forward-looking statements at some point in the future. However, the company specifically disclaims any obligation to do so. Additionally, we are pleased to mention that our analyst and investor briefing will be held on Wednesday, December the 14th at the Nasdaq MarketSite headquarters in New York City. Please contact Investor Relations for further details and check our Investor Relations website several days in advance for details on how to access the live webcast. Participating on the call with me today are Eli Gelman, President and Chief Executive Officer of Amdocs Management Limited; and Tamar Rapaport-Dagim, Chief Financial Officer. With that, I'll turn it over to Eli.
Eli Gelman - Amdocs Ltd.: Thank you, Matt, and good afternoon to everyone joining us on the call today. I am pleased to report solid quarter four results consistent with our expectations, and which included the progress on several important dimensions. We strengthened our relationship with some of the world's largest service providers, including Vodafone, America Movil, and Telefónica. We expanded our digital offering with a combined acquisition of Pontis, Brite:Bill and Vindicia, and we delivered on our commitment to return 100% of free cash flow to shareholders in the second half of the fiscal year. As you may remember, fiscal 2016 began in a challenging fashion, but we delivered a stronger second half with profitability at the high end of our target range. This performance was similar to our prediction at the start of the year, and translated to full year diluted non-GAAP earning per share growth of 5.6%. Now, let me provide some color on our regional activity in fiscal 2016, with the emphasis of our fourth quarter performance. Beginning with North America, quarter four showed further signs of stabilization as we supported AT&T and other customers in various strategic initiatives. For instance, during the quarter, we extended a long-standing managed services agreement with a flagship prepaid brand of a major US carrier for an additional period. Regarding our outlook in North America, many of the uncertainties created by the market consolidation activity of the last few years began to resolve in fiscal 2016 and benefited Amdocs. While this is translating to the modernization of opportunities such as those we are seeing in the Pay TV industry, the boarder market dynamics are continuing to shift rapidly, which may lead to a new wave of industry consolidation. For instance, AT&T's proposed merger with Time Warner and Verizon's bid for Yahoo! represent the convergence of communication, media, and entertainment and promises to create a new level of competition among service providers. Historically, this type of M&A activity has created long-term opportunity for Amdocs as well as better outcome for consumers. That said, we remind you that a merger such as this naturally takes many months to complete and are subject to intense regulatory review, which may delay the discretionary spending discussions of our customers in further quarters – in future quarters. Additionally, our outlook remains subject to future corporate consolidation activity among North American service providers, the outcome of which are difficult to predict. Moving to Europe, we closed out a successful year of growth consistent with our outlook at the start of the fiscal 2016. During quarter four, Vodafone Spain selected Amdocs to consolidate Customer Relationship Management, CRM, and Operations Support System, OSS, across its mobile and cable operation. This follows our earlier awards with Vodafone in Ireland, India and Germany and is further evidence of the value we provide to the Vodafone Group. Regarding the outlook in Europe, the work in backlog and the pipeline of opportunities points to moderate growth in fiscal 2017, although we expect the pace to be difficult to predict within the context of the regional macro, political and foreign currency conditions, which we assume will remain challenging over this next 12 month. In Rest of the World, we delivered another record year in which we continue to expand activities with strategically important customers. Demonstrating our continued growth relationship with American Movil, Amdocs signed a three-year agreement to provide Amdocs' Network Triage Services to improve mobile network performance for America Movil service providers in nine countries including Brazil, Argentina, Chile, Colombia, Guatemala and Salvador, Nicaragua, Honduras and Costa Rica. Similarly, Telefónica selected the Amdocs Data Hub for Vivo in Brazil, which expands the scope of the quad-play transformation project we announced earlier. Quarter four was also productive in Southeast Asia. XL Axiata, a leading mobile service provider in Indonesia deployed the Amdocs Master Enterprise Catalog to speed up time-to-market and in a separate project, an innovative solution for dynamic quota allocation to deliver a better video experience. Meanwhile, Globe Telecom of the Philippines selected Amdocs Revenue Guard for automated, analytics-driven revenue assurance, a service that is built on market-leading technology, developed by cVidya, which we acquired in January 2016. Looking ahead, the pipeline for opportunities continue to support positive revenue trajectory. We therefore expect Rest of the World to remain a growth engine for Amdocs in fiscal 2017 although we continue to believe that Southeast Asia will grow faster than Latin America and that the overall growth rate will moderate relative to the pace of the previous two years. Additionally, we remind you that quarterly trends may exhibit lumpiness due to the project orientation of our customer activities in Rest of the World. Now, before we discuss the financial aspect of FY 2017, I want to emphasize two key points. First, we continue to use M&A as a strategic vehicle to sustain long-term growth. For example, our recent acquisitions of Pontis, Vindicia and Brite:Bill extend our digital offering on seven dimensions and can be run alongside or as a enhancement to existing solution and capabilities. First major integration of this acquisitions commenced immediately upon closing and we are encouraged by the early level of sales engagement we are seeing across Amdocs' much wider customer base. Looking ahead, we retain significant capacity to execute additional M&A, which we intend to do as we find the right deals which will fit our strategy at the appropriate time. Second, as a result of our high win rate in the last few years, we are now progressing a record number of transformation project toward production on behalf of our customers. As we have said before, projects such as these are naturally challenging and often come with profitability below the corporate leverage. That said, they provided the foundation which we can bring continuous value to customers through sustainable long-term relationship. In other words, projects are the real future [masters] of Amdocs. Turning to our fiscal 2017 financial outlook, we are targeting a diluted non-GAAP earning per share growth of 4.5% to 8.5% by utilizing the various levers at our disposal. Specifically, I want to call out four of them. First, we expect total revenue growth within the range of roughly 2% to 6%. This outlook is supported by our record high 12 months backlog, which is by itself a reflection of our high win rate in recent years, and our unique business model. Second, we expect operating margins to be within an improved range of 16.4% to 17.4% in fiscal 2017, the midpoint of which is about 20 basis points higher than the midpoint of our prior range. This outlook reflects our goal to maintain and improve margins over the long-term, which is achievable as a result of our consistent project execution and our ongoing commitment to internal efficiency improvement. Third, we are committed to productive and disciplined allocation of our free cash flow as a mechanism to enhance overall return to our shareholders. Over the past four years, we have retained a majority of our free cash flow in the form of our share repurchase and quarterly dividend program. We expect to maintain a fairly similar approach in fiscal 2017, subject to factor like the outlook for M&A, financial markets, and prevailing industry condition. Four, to further enhance the total return to shareholders we expect to provide in fiscal 2017, we are pleased to announce a proposed increase in our quarterly cash dividend of nearly 13% to 20% per share. This dividend increase, which is subject to shareholders' approval at the annual general shareholders' meeting in January, demonstrates our confidence in the future success of Amdocs and is consistent with our objective of delivering a dependable income stream to our shareholders. As a final but highly important point, we remain highly focused on building the engines that will sustain our growth and strong competitive position for the years to come. These engines primarily include, digital modernization, the enterprise customer segment, cable and Pay TV, especially in North America but also around the world, and Network Functions Virtualization. While some of these engines are immediate, others are long-term in nature and will contribute more significant growth in fiscal 2018 and beyond. To learn more about these four important growth engines as well as our updated business outlook, please join us at our formal Analyst and Investor Day on Wednesday, December 14, which we will held in the Nasdaq MarketSite, headquartered in New York City's midtown. With that, I will turn over the call to Tamar.
Tamar Rapaport-Dagim - Amdocs Ltd.: Thank you, Eli. Fourth fiscal quarter revenue of $941 million was at the midpoint of our guidance range of $920 million to $960 million. Foreign currency movements negatively affected revenue by approximately $2 million relative to the third fiscal quarter of 2016 as we predicted in our guidance. Additionally, there was a negligible contribution to revenue from the combined acquisitions of Pontis, Brite:Bill and Vindicia, all three of which closed on September 14, 2016. As an added point of disclosure, AT&T accounted for 33% of total revenue for the full fiscal year 2016 compared with 34% in fiscal 2015. We remind you that our revenue from AT&T included a full year of activities with DIRECTV in fiscal 2016, as compared with a partial year in fiscal 2015. Our fourth fiscal quarter non-GAAP operating margin was 17.1%, a decrease of 10 basis points compared to the third fiscal quarter of 2016, but towards the high end of our long-term target range of 16.2% to 17.2%. Below the operating line, non-GAAP net interest and other income was $0.6 million in Q4, primarily reflecting foreign exchange movements. For forward-looking purposes, we continue to expect the non-GAAP net interest and other expense in the range of a few million dollars quarterly due to foreign currency fluctuations. We look at non-GAAP EPS was $0.89 in Q4, $0.01 above the midpoint of our guidance range of $0.85 to $0.91. Our non-GAAP effective tax rate of $18.2 in Q4 was above the high end of the annual target range of 13% to 16%, consistent with our guidance. For the full fiscal year 2016, our non-GAAP effective tax rate was 15.2%, which was within our expected annual range. We look at GAAP EPS was $0.64 for the fourth fiscal quarter, below our guidance range of $0.66 to $0.74 due to acquisition related costs in connection with the acquisitions of Pontis, Vindicia and Brite:Bill. Free cash flow was $125 million in Q4. This was comprised of cash flow from operations of approximately $153 million, less $28 million in net capital expenditures and other. DSO of 79 days increased by seven days quarter-over-quarter and was primarily attributable to the timing of projects' invoicing milestones and the completion of previously mentioned M&A activity, which occurred towards the end of the fourth quarter. Total unbilled receivables increased $23 million as compared to the third fiscal quarter of 2016. At the same time, our total deferred revenue, both short-term and long-term increased by $22 million sequentially in Q4. The net movement in unbilled receivables and total deferred revenue reflects timing differences between revenue recognition and the invoicing of customers during the fourth fiscal quarter. Our cash balance at the end of the fourth fiscal quarter was approximately $1.1 billion, though net of short-term debt was $0.9 billion. We drew down $200 million on our credit facility in Q4 for short-term funding purposes, and the balance has since been fully repaid. Our 12-month backlog, which includes anticipated revenue related to contract estimated revenue for managed services contracts, letters of intent, maintenance, and estimated going support activities was $3.17 billion at the end of the fourth fiscal quarter, up $60 million sequentially from the end of the prior quarter. Roughly half of the sequential increase in backlog was due to a consolidation of Pontis, Brite:Bill and Vindicia. During the fourth fiscal quarter, we repurchased 90 million of our ordinary shares – sorry, $90 million of our ordinary shares under our current authorization of $750 million. We have $597 million remaining under the authorization as of September 30. Now, turning to our outlook, we expect revenue to be within a range of $935 million to $975 million for the first fiscal quarter of 2017. Embedded within this guidance, we anticipate a marginal sequential impact from foreign currency fluctuations as compared to Q4. For the full fiscal year 2017, we expect total revenue growth to be within a range of roughly 2% to 6% on constant currency basis and reported basis relative to exchange rates prevailing at the end of our fourth quarter fiscal 2016. This outlook incorporates growth from the sale of our Customer Experience Solutions including recent acquisitions of between 3% and 7% minus a drag of about 1% from directory, which we anticipate will continue to decline in fiscal 2017. Additionally, sequential trends may exhibit some lumpiness owing to factors such as the project orientation of our customer activities in Europe and Rest of the World and the business profiles of the recently completed M&A. As Eli discussed, we anticipate our non-GAAP operating margin for fiscal 2017 to be within an improved target range of 16.4% to 17.4%. Additionally, we expect our quarterly non-GAAP operating margin will fluctuate at the higher end of this range in fiscal 2017. We expect our non-GAAP effective tax rate to be within a new target range of 13% to 17% for the full fiscal year 2017. This range is 1% wider on the high end, compared with our previous guidance of 13% to 16%. We believe a wider range is appropriate due to growing economy and political pressures in many jurisdictions and from multinational organizations such as the OECD to increase the tax revenue. With respect to Q1, we expect our non-GAAP effective tax rate to be above the high end of our new target range, 13% to 17%. We expect the first fiscal quarter diluted non-GAAP EPS to be in the range of $0.87 to $0.93. Our first fiscal quarter non-GAAP EPS guidance incorporates an expected average diluted share count of roughly 149 million shares and the likelihood of a negative impact from foreign exchange fluctuations in non-GAAP net interest and other expense. We excluded the impact of incremental future share buyback activity during the first fiscal quarter, as the level of activity will depend on market conditions. For the full fiscal year we expect to deliver diluted non-GAAP EPS growth of 4.5% to 8.5%. Our full year EPS outlook does factor in expected repurchase activity over the year. As Eli indicated earlier, we plan to return a majority of our free cash flow to shareholders through our ongoing share repurchases and dividend program in fiscal year 2017. Finally, we expect the total return we deliver to shareholders will be enhanced beyond the earnings growth outlook by our dividend program, which, if the new quarterly dividend rate is approved by shareholders at the Annual Meeting in January would yield about 1.5% on the current share price. Therefore, in fiscal 2017, we expect that some of our diluted non-GAAP EPS growth plus the dividend yield to equate to a total shareholder return in the mid-to-high single digits. As a reminder, future changes in the dividend program will be subject to periodic review and will be tied to the underlying growth rate of our business and overall capital requirements. With that, we can turn the call back to the operator and begin our question and answers.
Operator: Thank you. And our first question comes from Tom Roderick from Stifel. Your line is open.
Matthew van Vliet - Stifel, Nicolaus & Co., Inc.: Yes. Hi, I'm Matt Van Vliet on for Tom this afternoon. Thanks for taking my question. I guess, first, looking at the three acquisitions you made late in the quarter, curious what impact you expect that to have on the 2017 results and how that is already sort of progressing in some of your sales flow in terms of add-on sales to existing customers?
Tamar Rapaport-Dagim - Amdocs Ltd.: So as we indicated when we announced those deals in mid of September, we expect the contribution to revenue growth this year to be 1.5% to 2% from those three deals. And in terms of the overall activity, we're seeing with customers' very good feedback. We are already seeing in the sales channels couple of very interesting opportunities in all three of the deals. So, definitely fitting in right within our digital support to customers as we expected when we concluded those deals. Anything other than that?
Matthew van Vliet - Stifel, Nicolaus & Co., Inc.: And then – sorry.
Tamar Rapaport-Dagim - Amdocs Ltd.: Go ahead. Sorry.
Eli Gelman - Amdocs Ltd.: No. Go ahead, Matt.
Matthew van Vliet - Stifel, Nicolaus & Co., Inc.: Yeah. And then I guess following up on the 2017 operating margin guidance, obviously a little bit higher than your long-term targets. Is that something that you've made from a strategic standpoint to go ahead and raise that range longer term or is that just short-term? And maybe what are the biggest drivers for this year in particular?
Tamar Rapaport-Dagim - Amdocs Ltd.: When we are looking on different aspects of our business, of course, there's on the one hand, the performing engines of the business where we're continuing to focus on improving the tools, methodologies and other aspects in terms of generating better margins. And at the same time, we continue to shift and invest into new growth drivers. So this kind of balancing act continues to happen under the hood. At the same time, we feel that given how we are seeing the improvement of the business cycle in terms of the activity, we are seeing the recurring sales. We've seen some examples through the announcements we've had today of repeat sales in existing customers and other ways in which we can expand slightly the margin, which made us feel comfortable that we can – actually, we increased the range by 20 basis points if you look at the low and the high end. We are not indicating necessarily that this is now a new trend you should expect every year. We are guiding currently for fiscal 2017. But as you've seen in the past, slowly but surely, we are very focused on continuing to invest in the business, generating new growth drivers for the long-term and at the same time try to improve the margin over time.
Matthew van Vliet - Stifel, Nicolaus & Co., Inc.: Great. Thank you.
Eli Gelman - Amdocs Ltd.: Thank you, Matt.
Operator: Thank you. Our next question comes from Will Power from Baird. Your line is open.
Will V. Power - Robert W. Baird & Co., Inc. (Broker): Great. Thank you. Yeah. A couple of questions, maybe just starting on North America, the outlook there, it looked like you had the strongest quarter of the year I think here in fiscal Q4. And I think as you laid out some of the 2017 expectations, you spoke to strong expectations for Rest of the World. I think you indicated something along the lines of at least modest growth in Europe. I'm not sure I caught what you said for North America. So I guess the question is, do you expect North America to continue to grow, or to grow year-over-year in 2017? And then I guess within that, how do we think about this Time Warner transaction versus some of the carrier-type deals AT&T has done in the past, because this is a different type of model transaction I guess for them. How do you – are you already seeing an impact? How do you think that's going to impact you all?
Eli Gelman - Amdocs Ltd.: So, Will, first of all in terms of North America, we expect the North America to grow modestly, but to grow. I think there was a good chance that 2017 will be a transition year in North America because as we indicated before, the projects on the Pay TV MSOs front are accelerating, but it takes time to get to the right speed and the right level. So these are components we did not have before, and that's – comes on top of other project that we have with AT&T, T-Mobile and Sprint, US Cellular and many, many others. So we expect it to grow modestly. In terms of the new acquisitions that are proposed by AT&T like the Time Warner, you know DIRECTV already was part of a transition to go into the Pay TV and the video consumptions, and we have seen some of these challenges in some of the activities as we have with AT&T under the DIRECTV project. And we believe that the Time Warner acquisition is in a way one step farther in the evolution of what we would call today the integrated carrier. So if in the past they would have wireless carriers, and then broadband carriers, and cabling carriers and so on so forth – AT&T is a good example that we see actually in many other places in the world of an integrated carrier that are offering many of these services from the same service provider. And we believe that the evolution of this that went into Pay TV, in AT&T, specific case for the DIRECTV acquisition, it continues with another step in the same direction. I believe it will be slightly different acquisition that would not necessarily streamline all back-end systems and so on so forth, but they provide very interesting opportunities right now to do better job in providing customer experience to the media companies. And so that may be to get into the HBO of the world, and the Disney of the world and so on so forth. Specifically by the way, Vindicia – the acquisition of Vindicia that we have made in this quarter is targeted exactly to this segment of the market. They are current customers, R&D space, and I think that it could be very relevant to the transformation of the industry. So a little bit too early to say how fast and where it's going to go, but we see it as evolution of the integrated carrier concept that we have seen in other place in the world. Actually Comcast did the same thing with Universal NBC. Comcast probably will have to decide what they want to do with their wireless strategy as an integrated carrier. So we will see – we think we'll see higher level of entropy as I call it, and which is a higher level of dynamics, which usually is a good thing for Amdocs, long-term for sure. Short-term, there is always the challenges and the concerns and maybe discretionary expenses will be – will slow down, but they are going through these waves of transformation in North America for quite some time and we think it's overall good for us. We also think it's actually very good for the consumers there. I have to mention it, their – their announcement of AT&T with the current assets that they have of $35 for 100 channel, I believe premium channel is already kind of disruptive in the market. There are – more and more MSOs and carriers will offer stronger and stronger offering on the over-the-top delivery mechanism. So you see more and more activities in this space and this – along the same line of activities.
Will V. Power - Robert W. Baird & Co., Inc. (Broker): Okay. And maybe just a question for Tamar on the free cash flow outlook for fiscal 2017. Should we expect a free cash flow result that's up a little bit from 2016, similar to 2016? Any puts and takes to think about for this next year on that front?
Tamar Rapaport-Dagim - Amdocs Ltd.: So if you remember, we – when we were tracking through three years of earnings to cash conversion of 120%, I kept saying, guys this is not sustainable. And reality caught up with my statements and as you've seen in 2016, we've already seen a lower free cash flow – still very healthy one, but slightly lower than earnings of around $500 million. And in fiscal 2017, we expect a similar situation to 2016 where we are ramping up many of those transformation projects, Eli mentioned there that we are very active, actually a record high level of transformation projects that is a result of very good win rate we've seen in the last year or two years. This is a good investment from our point of view to have. The ability to penetrate and start working with many new logos and ramping up those important transformations. So, we see that those are two investments in the future.
Operator: Thank you. Our next question comes from Ashwin Shirvaikar from Citi. Your line is open.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): Hi, Eli. Hi, Tamar.
Tamar Rapaport-Dagim - Amdocs Ltd.: Hi.
Eli Gelman - Amdocs Ltd.: Hi, Ashwin.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): I guess my first question, Eli, you had a comment where you said that you have a number of projects moving to production from development phase. I know this for transformational projects that you are doing. I guess that leads to a couple of queries; one is, what's the pipeline for new projects to replace the ones that are moving into production? And then the second part is, just trying to understand when these transformational large projects move to production, what does that mean for your P&L?
Eli Gelman - Amdocs Ltd.: So, Ashwin, this is a good question. First of all, the pipeline for new projects is very healthy in all dimensions, in all regions, in many, many dimensions. So we hope to keep the high win rate and win new projects. The last couple of years have been very active on winning projects. So I am mentioning the projects orientation because on one hand it creates pressure and it stretch our delivery organization to the limit and many aspect like this. But on the other hand, this is the foundation for anything else, because usually a successful project leads to other successful projects, and as we are expanding our offering, the potential other project that can come after whatever project we started with. Projects can actually tend to be Managed Services, and we've seen it in several customers in the last couple of years and we put more emphasis on that right now. That's another evolution – natural evolution of projects. And projects, usually when they come to fruition, they don't go to zero. We go from ramp up of the people to some kind of a ongoing support, change request mode and so on so forth, which is usually quite active by itself. So obviously, the level of people have been – will be reduced by, but the revenue stream will continue through an ongoing and change request and others. In most cases, relatively soon after a project comes to fruition and we go to production, we stabilize the organization – the operation, we have the time to discuss further projects. And this further project are not necessarily the one that you have right now in the pipeline because sometime though as a result of a dialog – put forward dialog that we have with our customers and not necessarily the stuff that they have in the bid process and so on so forth. So, all together, we have record high projects, which is challenging on certain aspect of operation and margins short-term and so on so forth. Long term, as I said, these are the true pure muscles of the company and naturally building foundation for growth in the future. If your question alluded to, maybe we can expand the margins further, it's really depends on the pace of new projects comes in. If it was only getting into production and stabilizing it, yes, naturally we could have improved that, but I'm not sure that you want us to be in this position. We want to keep on growing with an additional project and additional transformations. It's just that I'm mentioning it this time because we've committed so many of them that they are worthwhile mentioning.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): Yeah. No, no, I am definitely good with more projects. I guess the second question – and I'm not sure if this is the right forum or if Analyst Day is a better place, but is it possible to talk about what percent of Amdocs' revenues is derived from what I would call traditional telco services, voice, data that kind of stuff versus the new digital services, cloud, IoT? I noticed you've had increasingly more press releases – financial services for example. And the reason I'm asking is, does it have a multi-year impact on – because these are value-add services, presumably they might have better margin profile and younger services, so better growth profile. So, kind of wondering about that.
Eli Gelman - Amdocs Ltd.: So, we don't really have an answer ready for that. We can maybe look at it. But I want to tell you, maybe today the ones that may help you. First of all, I would say, all – don't take it literally, but vast majority of transformation that we have digital in nature, the driver for the transformation on digital, whether we'll deliver it with a cloud base technology or on-prem or on-premise is actually a secondary question, which is not very important. Cloud for us is just a vehicle, just a tool, and we use the right tool in the right context. But I would say all the transformation in recent years belongs to the digital era, the business space and can be qualified this way. Even if some of the transformation elements underneath this major transformation are traditional telco just because they need to carry the legacy with them and so on so forth, the reason, the trigger there, the reason there, you know the reason why we actually have this project is digital. So, that's one data point. And the second one is that in terms of the profitability profile I actually don't think that there is a specific profile for digital project versus other. It's mainly whether the project and the transformation is new and in process or in progress, or it's in a stable, steady state business as usual so to speak when we mainly do change request and the additional projects. And so, these are kind of the real different categories of profitability, which just goes back to the topic that we made, just mentioned around projects.
Operator: Thank you. And our next question comes from Shaul Eyal from Oppenheimer. Your line is open.
Shaul Eyal - Oppenheimer & Co., Inc. (Broker): Thank you. Hi, good afternoon Eli, Tamar, and Matt.
Tamar Rapaport-Dagim - Amdocs Ltd.: Hi.
Eli Gelman - Amdocs Ltd.: Hi, Shaul.
Shaul Eyal - Oppenheimer & Co., Inc. (Broker): Hi. Eli, I wanted to revisit the four growth engines you brought up in your prepared remarks, digital, Pay TV, enterprise, and NFV. Can you provide us with some more color, examples about these engines? And again by no means am I trying to front-run your upcoming Analyst Day next month, but just maybe a little bit of more color?
Eli Gelman - Amdocs Ltd.: How many hours do we have, Shaul? Obviously it's the deepest topics that we are discussing and that's one of the reasons we felt that an Analyst Day is really something we are looking forward, because we have actually so much to say. If I need to give you the gist of it, just a summary, digital is everything we do right now. We are talking about many projects around e-commerce, around different way to serve customers on the retail front, in the other words, in the retail stores and so on so forth, which is a very different thing. We are talking about self-service and application that are downloaded to iPhones and iPads and Android phones. We are talking about new formats of bills and we are talking about big data analytics that enhance all of this and so on and so forth. So it's almost anything we do, but we need to give you more color on specific projects and there is – basically, we thought about doing it to a real demonstration of the system, real-time system, that will demonstrate to the analysts and investors that will come to the A-Day. On the enterprise segment, this is a highly complex area; it's a switch both for more and more carriers and MSOs. We see project from North American MSOs, all the way to carriers in Europe and in Southeast Asia and the like. So this is global demand. We have some new, really cool set of application to address this topic. This space was never really well-covered by historical providers, so it used to be a lot of Excels and manual work and no paper. And we are mechanizing all of it in a relatively digital way and we will demonstrate some of this and tell you some of the projects that we are having there. On the cable and Pay TV, we have been talking in the last few quarters about the fact that we feel that the North America specifically, but maybe other places as well are transforming, especially around improving the customer experience, improving NPS scoring, addressing in a different way the customer interaction. And that's what we see. Actually, every quarter that goes by, we are more confident that we are in the midst of this transformation. We hope to be more confident that we are the winners in this space as well. So we will share with you some of the examples of specific projects, but it is happening as we speak and these are major transformation – multi-year, major transformation that are happening, or start happening as we speak. And the Network Functions Virtualization is just a whole new space that we talked about in the last two quarters or three quarters, but it's very hard to explain the depth of what we are doing on audio calls like this, so we need like good engineers, we need a piece of paper and a pencil to explain some of it and that's what we are going to do there. Obviously, the lead project is ECOMP, which is AT&T, we talked about last quarter...
Shaul Eyal - Oppenheimer & Co., Inc. (Broker): Yeah.
Eli Gelman - Amdocs Ltd.: But we see some good signs in other places. I'm telling you, it will – by definition, will be slower than what we would like to have because it's a huge transformation in the industry and a lot of companies, especially the Cisco and the Ericsson of the world will have a lot of interest to slow down. But I don't think – I think it's inevitable that this transition will happen. We are part of it right now. We are gaining more credibility as we go forward. So the investments are probably this year, little bit of last year. I think the results will come later, but the topic itself, I hope that we'll explain that better and therefore, I hope that you will see the value of it as a growth engine for the years to come. So I could not – again, right now, I cannot give you more details with the limitation of time and the media, but I hope it will be better after the Analyst Day.
Shaul Eyal - Oppenheimer & Co., Inc. (Broker): I appreciate it. Maybe my follow-on question. So, today's announcement with Philippines' Globe – with their main subsidiary, very encouraging the way I read it on couple of fronts. First, it suggests additional expansion with an existing customer that was actually added over the course of that past 18 months, 24 months, if I'm not mistaken. But I think more importantly, I think it's a financial technology capability that you guys are showing here. So I want to ask, was that expansion based on a competitive bid? And if so, who else was competing on that project?
Eli Gelman - Amdocs Ltd.: So I can make your life easy on this one, Shaul. Everything that we win is competitive bid. And the day that you can just prove your capability, smile and give a good price and you get the deal are almost over. So all of this, including this financial services offering to the Globe – FinTech subsidiary is – have been through a competitive process. And in this space, there are – some of them are the usual suspects, like Huawei and Ericsson and others and some of them are specialists in this specific area. We are definitely very proud that we won it. It's one of the regions that are really exercising financial services combined with mobility, let's call it this way, in the most advanced way. Southeast Asia in general, Indonesia, Philippines and a few other places. So, obviously, to be part of an early adapter exercise of this sort is not only the size of the project but also the importance of what we are going to learn from this. And this is very important, not only for the size, but also for the type of project that we are talking about.
Shaul Eyal - Oppenheimer & Co., Inc. (Broker): And any similar opportunities maybe in Europe or in the U.S.? I know, different market dynamics, but anything you could also bring to those two additional regions on the financial technology front?
Eli Gelman - Amdocs Ltd.: We are working on it. Once we have something to share, we will – let's put it this way, we have opportunities similar and somewhat different but in the same space in our pipeline.
Shaul Eyal - Oppenheimer & Co., Inc. (Broker): Got it.
Eli Gelman - Amdocs Ltd.: So, whether it's in these specific regions as you mentioned and which specific environment is a different thing. That's something that we are proud of.
Shaul Eyal - Oppenheimer & Co., Inc. (Broker): Got it, clearly. Thank you so much, guys. Good luck, good job.
Eli Gelman - Amdocs Ltd.: Thank you, Shaul.
Tamar Rapaport-Dagim - Amdocs Ltd.: Thank you.
Operator: Thank you. Our next question comes from Jason Kupferberg from Jefferies. Your line is open.
Amit Singh - Jefferies LLC: Hi, guys. This is Amit Singh for Jason. Just wanted to ask about the AT&T Time Warner merger again, and how that relates to your full year guidance? So, if you could provide a little bit more color on how much risk sort of you have baked into this guidance range?
Eli Gelman - Amdocs Ltd.: So it's quite simple; zero, or close to zero.
Amit Singh - Jefferies LLC: Okay. Okay.
Eli Gelman - Amdocs Ltd.: But specifically to this specific merger – by the way, just to give you a bit color, we think it will take a long time to get approved, because it's a – could be political more than anything else. And we also believe that in the meantime, they will have difficulties to talk to each other and the need to run the companies separately and so on so forth. So even if we have something, it will be relatively minor and would be actually a surprise within FY 2017. Longer term, it represents opportunities as well.
Tamar Rapaport-Dagim - Amdocs Ltd.: Yeah. The risk in the short-term as always with such M&As is that when carriers are thinking about changing their strategic plans is what happens to existing programs. We didn't see any change. Many things are running naturally in large accounts such as AT&T, but we are being cautious as always, but they may change priorities moving forward. We don't know now how to predict that.
Amit Singh - Jefferies LLC: Okay. Great. And then just related to that, I know previously you've talked about the AT&T Domain 2.0 and all the work you are doing over there. If this merger were to go through, do you think anything changes there and the overall AT&T strategy regarding all that work?
Eli Gelman - Amdocs Ltd.: So regarding the network virtualization, I don't think so. It's a very complex topic by itself, so it may slow down, take slightly different approach than what we thought maybe x months ago. So I'm not necessarily saying that Domain 2.0 an easy or smooth cruising. But specifically, the Time Warner are not necessarily going to affect it if any. There is a chance it will accelerate it, because at the end of the day we are talking about an ability to take high-end content and deliver it into several measures and several avenues in a better way to consumers. So that may accelerate the 5G deployment; it may accelerate the fiber optics deployment; it may accelerate virtualization in general, which is the backbone of the network. So I'm not sure it will affect, but if any, I would expect it to accelerate plans like this, not to slow them down.
Operator: Thank you. Our next question comes from Tal Liani from Bank of America. Your line is open.
Michael H. Feldman - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Hi, guys. Thank you for taking my question. This is Michael Feldman on for Tal Liani. First question, when it comes to your revenue outlook, you are guiding for about 4% growth at the midpoint and felt like last year you grew around the same, but North America was down 7% and the Rest of the World and EMEA was up 20% or so. Would you be able to provide some color on how that growth contribution should look across the different regions in 2017? And then a second; I believe you have a smaller AT&T managed service renewal coming up in 2017. Can you share with us any information on how those talks are going and if the renewal of that agreement is factored into your guidance? Thanks.
Tamar Rapaport-Dagim - Amdocs Ltd.: As we said previously, yes, we are expecting modest growth in North America. We are expecting in Europe a continuous growth, but at a lower pace than the double digit that we've seen in 2016. And in Rest of the World, we do expect that to continue and big growth engine for the company. But after couple of years of 20%, 30% growth year-over-year we do expect that to start decelerating as well. So overall we are seeing very, of course positive indication given the fact that growth is more balanced across the different regions and at the same time very happy to see that the growth is happening in all region. So that's about the regional aspects of the growth. In terms of what we're seeing in Managed Services deal – again, we are not going into any specific deal – nothing material there in terms of renewal process that you guys should be worried about in 2017. There's always ongoing activities of many types and with distant buying centers and definitely in the large accounts like AT&T, but I don't think there's any material to report in that sense.
Michael H. Feldman - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Thank you.
Eli Gelman - Amdocs Ltd.: Thank you, Michael.
Operator: Thank you. Our next question comes from Sterling Auty from JPMorgan. Your line is open.
Sterling Auty - JPMorgan Securities LLC: Good evening guys. Two questions. Back to the comments about the transformational deals that are coming to completion. How much flexibility or control do you have on the timing of the start of new projects slotting in right after the completion of some of those, versus, is there any risk of having any kind of air gaps in any other quarters here in fiscal 2017?
Eli Gelman - Amdocs Ltd.: So Sterling, we have some flexibility, but it's limited of course because at the end of the day when people ask us to run a transformation project for them, they usually need it as soon as possible. The good thing is that we manage to – on average to reduce quite significantly the duration of an execution of a given project. And if you compare – that was of course a wireless, or multi-play, or a SaaS project that – you need to compare similar projects, but in general, in the last two years or three years, through improvement of their R&D, through improvement of the methodology, we can show them overall projects. And we can actually use it partly to answer – deviate or control the start of the project and acceleration of the project and so on so forth. The second thing I want to say that we need to remember that the project starts with – the first major phase of execution is scoping, which is a very, very delicate phase. And we basically time it in such a way that will also help us reassign people when they are needed. They are coming off other project and they can be deployed in new project. So we have some flexibility and we are using it all the time, otherwise would have to let go and recruit people on a major movements, which is something that is not good for our employees and it's not good for our – the knowledge and many other things. So you cannot imagine that over the years, we developed a relatively sophisticated mechanism to predict when we need the people and when we need to accelerate and when we need to reassign people and so on so forth. So the overall human resource aspect of deploying engineers in different projects became somewhat of an art, but it's also very mechanized and very systematic. So one of the things that we – that help us is the beginning of the project, I just mentioned, but there are many other parameters within a project that we can accelerate and decelerate in order to optimize knowledge and capabilities of people that are needed for the different given projects.
Tamar Rapaport-Dagim - Amdocs Ltd.: Just want to add on that. Notwithstanding everything we said on the lumpiness that may happen around projects with that, that's always true. I think people may have misinterpreted what we trying to say regarding the completion of some projects. At the end of the day, when you look at our 12 months backlog, and even assuming that roughly half of the increase in backlog came from the newly acquired companies, it's still a nice uptick that we see in the 12 months backlog that it has to do with timing of new projects. So, there are things coming up; some of them are assigned. And it's natural evolution, with some project ramp down as they get to production line, and some project ramp up on a net basis. We are actually expecting an increase going into fiscal 2017. But yes, as Eli said, there are different moving parts in terms of timing and when things happening. So I think this is a phenomena we are seeing every year; it's nothing special about what we are seeing moving forward.
Eli Gelman - Amdocs Ltd.: It's like a rolling phenomena. One project accelerates, gets to fruition, stabilize, go to ongoing and change request mode. The others are coming in and peak at the right time. So overall, this is something relatively smooth in terms of the deployment of engineers into the project. But in reality, the summation of rolling ways like this that just – we are just synchronizing perfectly or close to perfectly on time on the time axis. So, this is kind of what we are trying to depict in these comments.
Sterling Auty - JPMorgan Securities LLC: That makes sense. And as a follow-up question, is there anything to read into the pricing on the new projects, given the 20 basis point expansion and the margin guide, is that suggesting that you've got better pricing or is it just the mix of projects that you are working on is different this year?
Eli Gelman - Amdocs Ltd.: So Sterling, thank you for the questions. So the one thing I can assure, it's not because we manage to get the prices up and – it's a very competitive landscape. We have a very, very healthy win rate in the last couple of years, maybe more. But it's not like competition are gone and therefore, we can improve pricing. This is not the case. It's mainly due to the fact that the execution of this project that we just talked about that we won and are winning are done better. So, we improving the engineering aspect of the company; from R&D, all the way to delivery, all the way to testing, all the way to Managed Services and many other aspect of it. And this real, better execution allow us to do that. It's pure; it's not the mixture and it's not the pricing. This is a good indication of the efficiency of the overall company as a construct and of code.
Operator: Thank you. And I'm not showing any further questions in our queue. I would now like to turn the conference back over to Matthew Smith for any closing remarks.
Matt Edward Smith - Amdocs Ltd.: Thank you, Christo. And thank you very much for joining our call this evening and for your continued interest in Amdocs. We look forward to hearing from you in the coming days. And if you do have any additional questions, please give us a call at the Investor Relations group. With that, have a great evening and we'll conclude the call. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. You may all disconnect. Everyone have a wonderful day.